Operator: Ladies and gentlemen, thank you for standing by and welcome to the Siyata Mobile Third Quarter 2019 Conference Call. At this time, all participants are in a listen-only mode. Please be advised that today's conference is being recorded. [Operator Instructions] Please be advised neither TSX Venture Exchange nor its regulation services provider as that term is defined in policies of the TSX Venture Exchange accepts responsibility for the adequacy or accuracy of this release. This news release may include forward-looking statements that are subject to risks and uncertainties. All statements within other than statements of historical facts are to be considered forward-looking. Although the company believes these expectations expressed in such forward-looking statements are based on reasonable assumptions, such statements are not guarantees of future performance and actual results or developments may differ materially from those in forward-looking statements. Factors that could cause actual results to differ materially from those in forward-looking statements include market prices, continued availability of capital and financing and general economic, market or business conditions. There can be no assurances that such statements will provide accurate, and therefore, readers are advised to rely on their own evaluation of such uncertainties. We do not assume any obligation to update any forward-looking statements expect as required under the applicable laws. Thank you. I would now like to hand the conference over to Marc Seelenfreund, CEO. Please go ahead.
Marc Seelenfreund: Thank you, Amy. Good morning, everyone, and thank you for joining the call. First I have to apologize in advance that I am very limited on time today due to the Sabbath, and won't be able to open a question-and-answer period following my statements. However, I'm available to answer any questions that you may have on Monday. Siyata Mobile reported it's 2019 Q3 financials this morning. Revenue for the quarter was $5 million compared to $3.1 million in Q3 2018, an increase of 61% over Q3. As mentioned in the press release, prior Q3 revenue was mainly contributed to sales of the Unident UV350, Push-to-Talk over cellular smartphone in North America and of other ruggedized 4G devices sales worldwide. We reported record gross margins in Q3 of 31.5% versus 26% in Q3 2018. Again, this was driven by our new 4G portfolio. Looking forward, we anticipate that these margins will continue to grow as the UV350 and 4G sales mix continues to be a larger part of our overall revenue. Costs in the quarter were mainly attributed to the additional marketing costs to promote our new products in North America and globally, including trial samples, trade shows and targeted promotional activities to position the company launch of a new product line, which I'll get into in a bit, and investing in key carrier network approvals. This results in launching the both Rogers Wireless in Canada and a Saudi Arabia Tier 1 operator. Both of these carriers gave purchase orders for the UV350 within the quarter. In Saudi Arabia, the first purchase order was to begin installations and a 200,000 plus ambulance fleet, and we expect additional orders from this carrier as they continue to equip the fleet with UV350. Additionally, the Rogers order for 150 units are expected to grow as they equip their 500 nationwide heavy construction fleet trucks with the UV350. Investment also went into network approval with an additional U.S. Tier 1 cellular carrier who has a very large market share of first responders and commercial vehicles. Network approval continues to advance and we anticipate receiving this shortly. With the additional Tier 1 operator launch, the two carriers we'll be working with in the United States control an estimated 75% of the market share of first responder and commercial vehicle market in the United States. We anticipate the sales opportunity pipeline to be equally aggressive from this carrier upon launch. In addition, we are advanced contractual discussion with a leading global land mobile radio vendor, which we believe can create another very large distribution channel for Siyata. Q3 growth was directly related to the device launches with carriers and dealer partnerships that we have invested in over the past two years. The company leverages the enterprise sales teams of its multiple cellular carrier partners to reach a wide variety of commercial fleet and first responder customers and their vehicles. Our efforts to build this sales channel has been very successful with the UV350 now in enterprise sales channels both with carrier partners, which have combined over 200 million cellular network subscribers. We offer a great value proposition to our carrier partners as they can now sell voice and data plans to commercial vehicles, which opens a large-scale, new market for them. The carrier enterprise sales teams are highly engaged, and the sales opportunity pipeline is unprecedented in the history of the company. We have a strong handle on upcoming opportunities, customers in trials and customers in contract negotiations with their carriers. Our opportunity pipeline has grown tremendously since our launch at AT&T and FirstNet within various verticals of the first responder and commercial vehicle enterprise markets, such as ambulances, yellow school buses, utilities, construction companies and much more. We get new leads in sales opportunities brought to us almost on a weekly basis now from carrier enterprise sales teams, as well as referrals from customers and believe these opportunities would be to strong growth for the business. We have not seen any direct in-vehicle cellular competitors. Our carrier partners have still not seen any competitors and are not doing any device approvals for any directly competing vendors in our space, putting us well ahead of anyone wanting to enter this space. The paradigm shift from land mobile radio to advanced Push-to-Talk over cellular solutions is in its infancy. We have first mover status locked down and we are well positioned to benefit from this inevitable upgrade through our software integration partners and Tier 1 cellular carrier sales channels. Most importantly, feedback from customers with the UV350 device in the field both commercially and in trials has been remarkable, specifically in regards to call quality, Push-to-Talk latency, as in the speed of the communication, network coverage and also, very importantly, the driver's user experience. It is in very smooth transition from land mobile radio to our devices for fleet operators, and we'll continue to build on our customer testimonials to further our reach and open more opportunities. With these carrier relationships in place, we now have an opportunity to launch additional devices into these channels. As such, we have developed a highly complementary cellular device to our in-vehicle portfolio that is Band 14 compatible, the band that FirstNet operates on. We anticipate launching this device both at the North American cellular carriers as well as globally with our existing carriers and distribution partners next year. It is a powerful device for industrial workers and first responder needs, and it brings an additional highly relevant device to our target market and our sales channels for additional revenue. We believe this another great opportunity for the company to capitalize on. Public safety and enterprise customers have been operating with land mobile radio technology for almost 40 years. That technology works really well and is mission critical, but it is very expensive, both CapEx, and [indiscernible] and only does voice broadcast. That's all it does. We are now in a unique position to let enterprise and public safety customers realize they can actually have a mission critical, in-vehicle device on a nationwide cellular network, which allows them to do much more at a much lower cost than they ever realized. It's a brand new shift in the telecom market, and now that we have Tier 1 carrier certification in place, we see wide open opportunity for Siyata to dominate the cellular in-vehicle category. Our target market in North America is 17 million commercial and first responder vehicles, and our goal is to sell over 100,000 annually for our carrier partners to both enterprise and mission critical customers. We are confident that our one-of-a-kind in-vehicle cellular smartphone technology with no direct competition puts us in a very favorable position to meet this milestone. Again, I apologize for the time constraint today, and would be happy to answer any questions that you may have on Monday. Thank you.
End of Q&A: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.